Operator: Good morning. My name is [Wes] and I will be your conference operator today. At this time I would like to welcome everyone to the Rogers Corporation third quarter conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. (Operator Instructions) Thank you. I will now turn the conference over to Mr. Bob Wachob. Please go ahead, sir.
Bob Wachob: Good morning ladies and gentlemen. With me today are Dennis Loughran, Chief Financial Officer; Deb Granger, Vice President of Corporate Compliance and Controls, Robert Soffer, Vice President and Secretary, Ron Pelletier, Corporate Controller and Bill Tryon, Manager of Investor and Public Relations. First, Dennis will dispense with the formalities and then we will get right down to business.
Dennis Loughran: I would like to point out to all our listeners that statements in this conference call that are not strictly historical are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and should be considered as subject to the many uncertainties that exist in Rogers’ operations and environment. These uncertainties include economic conditions, market demands and competitive factors. Such factors could cause actual results to differ materially from those of any forward-looking statements. I will now turn it back over to Bob.
Bob Wachob: Q2 turned out just as we predicted. How often is that happened? One of our markets were strong during the quarter, although as we said in the release, our customers in the high performance phones market, where it meeting to build some inventory and we will need to work it off, but we expect that will be a one quarter event or less. As we mentioned to you in the past, we are currently focusing on three significant market trends. They are growth of the internet, expansion of mass transit and investment in sustainable energy. Everywhere we look, we see evidence of the continuing growth of these megatrend. One example is that mobile internet devices are now expected to 55% in 2010 versus the original expectation of 22%. Tablet type devices are being introduced by a large number of suppliers and are expected to reach 100 million units per year by 2014, up from 13.6 in 2010. In September four of the 3G spectrum winners in India announced the awarding of contracts for base stations, at least just a couple of the good news events positively affecting the megatrend. Specifically for Rogers’ we are also having considerable success as 41% of our sales year-to-date were in to these megatrend. With 2010 growth in excess of 35% year-over-year, we now have 573 active customer opportunities with the significant increase during Q3 alone. For the year we have 160% to 170% of the customer opportunities with 50% of them already in production. By all measures Q3 was very successful for Rogers. Importantly one of the new application areas for us, base station antennas, now have four programs in production. These antennas programs with customers located in China, Korea and the US and additionally an electric vehicle application is now go on to production with anticipated first year sales of about $1 million. We are now in the process of starting up and qualifying the Printed Circuit Material facility in Suzhou, China, which will add $30 million to $40 million of capacity and $12 million to $16 million of gross margin in fully operational. The full complements of hourly and salary personnel are in place and have been trained. For the next two quarters, we will have additional wage, salary, utility and material expense connected with the startup, but with little corresponding revenue. When fully qualified for our customers we will be able to significantly reduce cost in the US, in European operations and we will be in a great position to deal with the expected growth in 4G and other high frequency circuit applications around the world. We also expect a significant reduction in our finished goods inventory once our new Suzhou operation is in full production. Also in Suzhou, our floats product line has been in rented buildings a few miles what is now our main campus. We are in the middle of consolidating this float operation, which is with its 300 employees in to some vacant space on the main campus. This should greatly improve workforce flexibility as we will double the hourly staff at this location. We expect full production of this product line will resume by the end of November. In the meantime, we are shipping from inventory that was build from preparation for this move. The equipment is begun to arrive at our new Power Distribution Systems’ North American operation, which is located in one of our Chandler, Arizona, facilities. We expect to start up and customer qualification will take two quarters leading to first production shipments in Q2, 2011. There are significant opportunities in North America for these products within hybrid electric and electric vehicle, variable frequency motor drives and mass transit that can only be addressed with local manufacturing. Finally, we are pulling into Q4, $2 million of capital spending associated with our digital initiative as a very large OEM as pre-qualified paid digital laminates. We are now providing a considerable amount of material, chosen shop, so they may test and qualify our material in their process by building a significant number of printed circuit boards for final qualification to the OEM specifications. This is really good news as success through this phase of the process will put us six-month ahead of our planned timeline. We are focusing on resources on where we see the best opportunities, so far in 2010; we have added 12 business development and marketing people to the megatrend effort. All this bodes well for the future growth of Rogers. Meantime, we continue to work to prepare ourselves to meet the growing needs of our customers while striving to strike a balance between short-term profits and long-term growth. I’ll now turn the call over to Dennis for the details of the third quarter.
Dennis Loughran: Thank you, Bob and good morning again to everyone. In the third quarter of 2010, we continue this year’s excellent improvement over 2009 level, however at a more subdued rate of change as we compare to last year’s second half when our recovery started to gain traction. Operating leverage continues to be the major positive story for Rogers as we utilize more available capacity to generate gross margins well above previous year levels. Third quarter 2010 sales were $101.3 million, represented an increase of $20.3 million above last year’s recession impacted levels with all of our business segments performing at improved levels. High performance phones and printed circuit materials continued the strong pace for 2010, contributing over 75% of the year-over-year growth leaving the way to Rogers over all 25.1% increase in sales. Rogers reported a profit of $0.55 per diluted share for the third quarter of 2010, compared to a profit of $0.40 per share for the same period in 2009. The quarter-over-quarter increase of $0.15 per diluted share continues this year’s trend of improvement, driven primarily by improved sales and operating leverage. Those factors also contributed to our third quarter 2010 gross margin of 36.4%. Margins for third quarter of 2009 were 30.4%. Similar to overall earnings, this improvement was driven primarily by the positive impact of our significant operating leverage and higher production levels combined with a favorable sales mix as most of our increase came from two of our three core strategic business, high performance phones and foams and printed circuit materials. Selling and administrative expenses for the third quarter of 2010 and 2009 were $20.8 million and $16.4 million, respectively. The increase of $4.4 million in SG&A expense was attributable primarily to the inclusion of performance-based compensation cost of approximately $4 million in 2010 that were not incurred in 2009, as well as approximately $0.4 million in increased cost associated with our higher sales volumes. We expect our SG&A to be in the range of $22 million for the final quarter 2010. Research and development expenses were $4.8 million, or 4.7% of sales in the third quarter of 2010, as compared to $3.8 million, or 4.7% of sales in the third quarter 2009. With R&D expected to be in the range of 6% for the fourth quarter, our average for 2010 will be just above 5%. That lower than targeted level is primarily result of rapid recovery in sales this year outpacing planned project expenditures. We continue to target a long-term level of R&D spending at 6% of sales. Rogers 50% on joint ventures had third quarter sales totaling $28 million, compared to $30.4 million in the third quarter of 2009. the 2009 figure included $5.5 million of sales from our former 50:50 joint venture PLS which became a wholly-owned subsidiary on March 31, 2010 and is now included in our consolidated results. Therefore, 2010 results actually represents an increase of $3.1 million. As mentioned in the press release, in October, the company consummated the sale of its position in the 50:50 joint venture with Chang Chun Plastics Company, RCCT. Overall equity income in our and consolidated joint ventures in the third quarter of 2010 was $2.4 million as compared to $2.3 million for the third quarter of 2009. Other income and expense which includes income from royalties, commissions and other fees, less other expenses, amounted to a loss of $0.8 million in the third quarter of 2010 compared to income $0.3 million in last year’s third quarter. The net decline is primarily related to a net unfavorable foreign exchange impact of $0.4 million due to the depreciation of the US dollar against the euro, as well as the exclusion of PLS commission income of $0.6 million from these results as they are now included in our consolidated operating profit as previously mentioned. The effective tax rate for the third quarter of 2010 was 30.7%. This rate was benefited by a mix of earnings to higher tax jurisdictions. For the full year 2010, we believe our tax rate will be in the range 26%, higher than our previous estimates due mostly to more earnings being generated in higher tax regions than previously anticipated. Rogers ended the third quarter with cash and short-term investment position of $53.2 million as compared to $44.8 million at the end of the second quarter for 2010. During the quarter, we had redeemed at par approximately $2.4 million of auction rate securities leaving a par value of $37.8 million outstanding at the end of the quarter. Capital expenditures were approximately $3.7 million in the quarter. For 2010, we expect capital expenditures to be approximately $15 million down slightly from our previous estimate as a result of the slight differences in project timelines as we near year-end. Our balance sheet responded to increased operating levels during the quarter with a net increase in working capital of approximately $9.5 million related primarily to higher accounts receivable and inventory. In accounts receivable, days sales outstanding stayed relatively stable at 58.5 days compared to 57.2 days at the end of the previous quarter. Inventories increased by $1.8 million during the quarter to $46.6 million with the increase in support higher sales levels in 3Q. We improved our inventory metric to approximately 9.7 weeks of supply. Overall, our current assets ended the quarter at 3.5 times current liabilities and we continue to have no outstanding long-term debt and have no current needs to borrow. This concludes my remarks and I will now turn it back over Bob Wachob.
Bob Wachob: Thanks Dennis. Now, we will entertain any questions you might have.
Operator: (Operator Instructions) Your first question comes from the line of Fred Buonocore with CJS Securities.
Fred Buonocore - CJS Securities: First thing I wanted to ask about is your gross margin certainly an impressive year-over-year expansion. I just wanted to think about the sequential from Q2 to Q3. It had a dipped a little bit and see if you can talk about that? Talk to us about gross margin expectations as we move forward over the next few quarters given these initiatives that you have underway?
Bob Wachob: Quarter over quarter we had a significant inventory build as sales were growing from about $83 million to $96 million something. As we anticipated there wouldn’t be that much growth in the third quarter and therefore, we built much less inventory. The whole gross margin can be explained by that change in the inventory build. Our goal for a long time has been 35 or better and I expect we will try and stay there.
Fred Buonocore - CJS Securities: Should we think about that 38% level as probably more towards the higher end or kind of reaching?
Bob Wachob: Yes because we built about $7 million worth of finished good inventory in the second quarter. I would not expect to do that again unless we have really fast growth. It’s one of the situations where the faster you grow, the faster you are going to grow earnings because you have to build inventory to support the growth One of the things we are trying to do is by starting up the printed circuit materials business in China. It is going to put us into position to be able to lower that finished good inventory and to respond much quicker to our customers because today it takes six weeks to respond because we must build it and then put it on a boat, it takes approximately six weeks to get to China. We have to keep these large inventories and guess what our customers are going to use which causes significant variability quarter-to-quarter because if they buy a whole lot more, they deplete that inventory and then we have to build it back up. It contributes to volatility in a way that you don’t see it unless you look at inventory.
Fred Buonocore - CJS Securities: Secondly, if we look collectively, you quantified a little bit for the initiative in Suzhou for the antenna material production. If we take that collectively with your other operation in Arizona which you are building out and the work on the high-speed digital application, if we put all that together how much impact do you think that has maybe on a per share impact or maybe gross margin impact to your Q4 expectation? In other words, how much cost related to those is built into your Q4 guidance? On the flip side of that, if you could give us a sense for how much benefit we start to see in 2011 from those initiatives being completed in, or started earliest in Q4?
Bob Wachob: Fred, those three initiatives are probably costing about a nickel a share in the fourth quarter and probably in the first quarter also. As we go forward, the printed circuit material alone is between $30 million and $40 million worth of capacity which would add between $12 million and $16 million worth of gross margin whenever we fill that capacity. The startup costs are rather minor compared with potential benefits. Initially, the biggest benefit will be a transfer of existing production from both Europe and the US and therefore a significant cost reduction. Then, we will be in a great position to deal with the growth that we expect to come in latter part of 2011 and 2012 and 2013 from the 4G initiatives. Power distribution solutions, we will have capacity for about $10 million worth of production and that by itself could add $3 million with the gross margin. The Digital is a $400 million to $500 million opportunity out there in 2014 and 2015, who knows where we end up, $50 million, $60 million, or $100 million in that range but its out in 2014 and 2015 because qualification comes first, then we will get designed into a small program. When we do well we will get designed into a larger program and when we do well we will designed into a very large program. This is a long term strategy, it’s not something that is going to have a big positive in six months, but it’s the things you need to do if you want to grow in the future.
Operator: Your next question comes from Avinash Kant of DA Davidson.
Avinash Kant - DA Davidson: A few questions, if you could talk a little bit about the high-speed digital opportunity and give us some idea about first, what the product and then who is the competition and what’s your position right now in that situation?
Bob Wachob: We currently have no position in the digital. Although, we saw a $3 million or $4 million worth, they are 4,000 products it’s rather minor. Theta is our product in partnership with Hitachi. That product is proving to be one of the most reliable and highest temperatures to build in products on in the market. That’s why we are getting approved. The competition is Panasonic with a product called Megtron-4 and then to a much lesser degree people like Park Electrochemical with their IN-13 and iSolar with some product also neither one of which deal very well with the lead-free solder which has to operate at much higher temperatures. We think we are in a pretty good decision here and of course we are working in partnership with Hitachi to develop the next generation product which will be able to function in much higher speeds, switching speeds 10 billion bits per second or 10GB and that will be definitely the leading product. Hitachi on the other hand has a very significant position in this marketplace with a wide range of products. That’s one of the reasons that we are in partnership with them is they have a presence in Japan they are the dominant player. They needed us to break into the US and the Chinese marketplace and then Europe also.
Avinash Kant - DA Davidson: The current market size is how much?
Bob Wachob: Current market size is around $250 million. We expect to grow to in the $500 million range by 2015.
Avinash Kant - DA Davidson: Do you have an idea when would you know about the results of the qualification, Bob?
Bob Wachob: If all goes well the end of this year.
Avinash Kant - DA Davidson: Dennis, could you give us some idea about the gross margin that we should be thinking about for Q4?
Dennis Loughran: We are looking at 1% to 2% kind of impact due to the start up kind of cost of a Q3 as a base.
Avinash Kant - DA Davidson: 1% to 2% lower than Q3 right, 
Dennis Loughran: Within point of our range, yeah.
Avinash Kant - DA Davidson: This should stay at these levels you said in Q1 also?
Dennis Loughran: We have got similar kind of startup activity for those operations that Bob mentioned in the first quarter.
Avinash Kant - DA Davidson: How about the tax rate going forward? How should we think of it in Q4 and ‘11?
Dennis Loughran: As I stated in the thing about 26% for the year, that’s about 28% for the quarter. It’s a very volatile situation due to our differences in earnings and tax rates in our three regions. Certainly we try to project as best we can but knowing as we described in the past that we have an effective tax strategy that limits our tax effectively zero in Europe and having written off our deferred taxes in the US, our net loss operating loss position in US does have the impact of reducing the denominator on a taxable base in China 22%. When that mix of earnings between China and the US changes even $1 million we get of swing like you saw in this quarter. We think we are mid to high 20s as a tax rate plus or minus like you said 2% or 3% given volatility in the quarter that’s the best I can do right now.
Avinash Kant - DA Davidson: For the next year you mean? You have historically talked about 26% to 28% is that?
Dennis Loughran: Exactly.
Avinash Kant - DA Davidson: That still stays the same right?
Dennis Loughran: Yes.
Avinash Kant - DA Davidson: What was the depreciation and amortization in the quarter?
Dennis Loughran: $4.1 million.
Avinash Kant - DA Davidson: Should we expect much change going forward in that in terms of the CapEx?
Dennis Loughran: In the fourth quarter about the same. As you look into next year we obviously have assets coming off and assets going on whether a $15 million CapEx, a slight increase next year I don’t know the exact number but there would be an increase because of capitalization stuff we are spending this year, and with the Lamina facility coming on stream in China.
Avinash Kant - DA Davidson: Would the CapEx for ‘11 also be impacted by these initiatives and how should we think of ‘11 CapEx?
Dennis Loughran: We have always said our maintenance CapEx is in the $12 million to $13 million range. We will finish in the first quarter of the laminate facility and these other things so you might have $2 million dollars of excess on a quarterly basis in the first quarter, but then we don’t really have that much growth CapEx going forward, so we are thinking in the mid-teens is probably a decent starting point for thinking about 2011.
Avinash Kant - DA Davidson: With Q1 being the high point it looks like?
Dennis Loughran: I think so.
Avinash Kant - DA Davidson: Right and if you could comment a little bit more about the three key initiatives that you have been focusing on. How was growth in those initiative in the current quarter and how do you see that landscape panning out going forward?
Bob Wachob: In the three megatrend areas, as I said we had year-to-date, we are having about 35% year-over-year increase and it was a little more than that in the third quarter, as our year-to-date sales reached 41% of the total versus 40% of the total at the end of Q2.
Operator: Your next question comes from Jiwon Lee of Sidoti & Company.
Jiwon Lee - Sidoti & Company: Just wanted to go back Bob and ask about the high performance from sales, with the particular OEM that you highlighted in the press release, wonder how much of the revenue was shaved from your fourth quarter guidance and outside of that particular OEM, how is the overall demand?
Bob Wachob: Overall that OEM is doing just fine. This was all related to a strike in India at a big EMS supplier, which caused the OEM to bring 30 to 45 days of finished goods inventory into India from China, which boosted the latter part of Q2 and Q3 by about $2 million. We expect that will be worked off during this quarter, but otherwise there is that OEMs doing just fine and we are doing just fine with them.
Jiwon Lee - Sidoti & Company: Okay well that’s helpful. If you could talk a little bit about Utis on the acquisition that you have made in Korea earlier this year, how that business is trending compared to your previous expectation?
Bob Wachob: That’s fully integrated inside of high performance foam, but in general we are very pleased with the acquisition and the progress. As we have mentioned, we increased the capacity of one of the machines by 50%, we wouldn’t do that if we weren’t optimistic about the future.
Jiwon Lee - Sidoti & Company: Going back to some of the opportunities this long-term trends and what not with or not, there has been some changes in your expectation with particular focus on the auto side with hybrid batteries and not?
Bob Wachob: We are very pleased with the progress on the battery side and also with the Thermal Management systems products and the Power Distribution products in the electric vehicles, we have rapidly increasing number of opportunities we are working on, and of course as you know automotive is a very long-term situation. You get awarded a contract at least two years before goes to production and you begin working 4 years or more on it. Having one gone to production, we feel pretty good about that. As I said, we think it will be a million dollars, but who knows. This particular OEM has announced at various times that they are going to make 10,000, 20,000, and 40,000 I pick 10,000 we will have to see.
Jiwon Lee - Sidoti & Company: Lastly from me, on the digital materials that you working all with Hitachi, are the computers that you listed earlier are they all in it to qualify with them. Could you clarify?
Bob Wachob: This one particular OEM, they have one product qualified and we will be the second. I might say, the first product qualified happens to be Hitachi in Japan, so this is considered two separate products.
Operator: Your next question comes from Shawn Severson of ThinkEquity.
Shawn Severson - ThinkEquity: Bob, could you talk about what transpired over the last couple of months, as you look at the business it seems like you pulled ahead obviously some of the capacity expansion, some of the opportunities and just what changed over the last couple of months to make this happen now versus more even spending plans were out fourth quarter and first quarter, second quarter?
Bob Wachob: The Printed Circuit Material area it’s become clear to us that there’s going to be more spending for 4G in 2011 and we have to look. This seems to be an application unlike 3G, which him took a decade to build that out. This one seems to be being pulled forward pretty quickly. AT&T announced recently that they intend to have 4G in place by midyear for 75 million people, whereas previously they had said nothing about that. We see this being pulled forward more quickly. In the digital area, the main event was that a competitor had a major qualification failure and therefore the OEM, did and evaluation of our paid material, which is pretty much the Hitachi material and decided that we in Hitachi could be their sources, dual sources. That is pulled that ahead quiet a bit and In the Power Distribution Systems, the main activity here is, a large number of our customers, both European and Japanese are winning contract for light rail in the US or with those contracts require that they have US content and therefore they would like to buy from us, but we need to make it here. We’re in a big hurry to be able to satisfy their needs before it goes away. If we get it, we start up on time and we get a nice business and we will continue because these things are generally long-term 3 to 5-year programs.
Shawn Severson - ThinkEquity: In terms of the SG&A leverage, could you just talk about that a bit going forward, I mean how should we plan for that in terms of incentive comp of the sales force through 2011?
Dennis Loughran: When you look at incentive comp we always budget at target level and so next year, targeting next year we probably end up having less incentive comp in next year’s projected numbers going forward, because we have exceeded sales and profit targets that we had said at the beginning of this year. Our underlying SG&A cost in the $20 million range, our reduce levels from our restructuring last year and we expect that to go forward that modest levels, when Bob mentioned headcount increases focused solely on the high megatrend markets and a lot of that is moving people within the company because we tried to maintained net headcount increases at the minimal levels we can, but overhead backroom support headcount are flash so we’ve got merit increases and other inflationary things offset by whatever cost improvement as we can. We expect modest low increase in base SG&A and the target incentive comp for next year.
Bob Wachob: It is $20 million to $21 million a quarter.
Shawn Severson - ThinkEquity: Last question, Bob, in terms of overall market how’s the progress for you, how are feeling about the end-market trends inside from tougher comps and the deceleration in natural rates. What your sense over the last couple of months and through the end of the year for general demand in the economic conditions beside from program specific stuff?
Bob Wachob: I’d say in the fourth quarter, we think general demand is continuously increase slightly, but at a much lower rate than it was early in the year. We like it seems most other people see things a little slower in the fourth quarter.
Shawn Severson - ThinkEquity: Yes, just from inventories refilling and getting back from doubts of last year as it has been more of a rapid fill through the first half of the year and now we’re entering into more normalized rates of growth without having inventory adjustments influencing the business as much?
Bob Wachob: Right, exactly in fact we’re good case in point, we look at our inventories because we grew sales so fast there in Q1 and Q2, we had a significant increase in finished goods inventory. Now that slowed significantly in the third quarter and we expected it to probably stay flat in the fourth. I would say that is the situation with our customers also. Except for those few cases where they built to much.
Operator:
(Operator Instructions). :
Dana Walker - Kalmar Investments: Let us start with PLS and flex. With the sale of flex and the coming to end of life on PLS, how is that going to affect your revenue, and what if any implications might it have for the bottom line?
Bob Wachob: PLS would be a decrease next year of $13 million and in this fourth quarter, about a $2 million decrease from the third quarter and profitability that made about $2 million. RCCT, it made a little money this year. They lost a lot of money in 2008 and 2009. We weren’t excited about the long-term prospects and that is why we decided to take our money and run.
Dana Walker - Kalmar Investments: Will it be anything obvious though in your head counts or beyond what you have just described?
Bob Wachob: As I have mentioned in the past PLS had one and half people devoted to it. That is not a big change and there was no one. A few of us were involved, but we all stick and stay here. There is really no change for either one because there was two going away.
Dana Walker - Kalmar Investments: Let us move on to antennas. With four programs that you are now describing, how does the antenna market appear to be sizing opportunity-wise compared to how may have thought it would look a year to two years ago?
Bob Wachob: It is turning out a little bigger than we thought, and we are having a little more rapid progress than we thought we would. We seem to be getting million-dollar programs each one is at least $1 million and some of which are considerably more than that and these last for quite a while. They are not just one-quarter type of thing.
Dana Walker - Kalmar Investments: Have you seen that in you revenue yet?
Bob Wachob: No. Those are all third quarter event except for one. The one that is been ongoing is the 4G build out here in Unites states and we are the sole source there. That is worth an excess of $1 million a year and the other ones are brand new and we will see some of that revenue in the fourth quarter but it is pretty much evenly spread over, at least as far as I can see, four quarters.
Dana Walker - Kalmar Investments: Are you comfortable describing an annualized revenue opportunity addressing that demand?
Bob Wachob:
.:
Dana Walker - Kalmar Investments: It would progress ratably from now until then?
Bob Wachob: Yes. That is probably some step changes as people make their decisions on 4G.
Dana Walker - Kalmar Investments: Given the build out of 4G though where you’re describing an acceleration of activity is that going to lead a burst of activity in pursuit of antenna demand that will then fall off a lot or will it be a different curve?
Bob Wachob: The burst of the activity will probably be two to two and a half years worth of activity. Then it will go down but I really do not know how much, probably 20-30%. Beyond that all depends upon subscriber growth or data usage. If the data usage continues to grow at almost a 100% a year they will be having to stick more antennas on those towers all the time. That’s where the business becomes much more stable as once we are driven by data usage versus in the initial phases there is all kinds of first going on as they decide to build out 20 cities in this mad rush to make it happen and then nothing.
Dana Walker - Kalmar Investments: For a simple guy like myself though would the power amplifier demands precede the antenna demand in some months?
Bob Wachob: Yes, absolutely. They typically can have four power amplifiers per base station and when they first set them up they put want, but they have a full set of antennas. Then you must fill that base station all four of slot and then you will put in another one and more antenna.
Dana Walker - Kalmar Investments: When you were describing digital opportunity five years from now I presume that given that there seems to be an acceleration of interest that you would expect some ratable level of development between now and then, it’s not just going to be $50 million business? 
Bob Wachob: No, it probably goes $2 million, $10 million $20 million, 30, 40 kind of thing its kind of growth that we expect.
Dana Walker - Kalmar Investments: Apart from the fact that a competitor had a quality issue how would?
Bob Wachob: It’s a qualification issue, poor quality, their product didn’t pass and so that’s pretty much game over because they will qualify too and then they will be done and not interested. As long as we pass.
Dana Walker - Kalmar Investments: As long as you pass? Are there any notable differences in your product versus the competitor’s product?
Bob Wachob: Yes, we have much better high temperature stability and, therefore, they are able to get a higher yield on the 50 layer boards like with some of the other material.
Dana Walker - Kalmar Investments: Moving to a different topic you have how many use an acronym ACOs for these active customer opportunities, you have got a lot of them to what degree did you measure this precisely before or is this a new metric within? To what degree do you consider whatever track record you have of monitoring that account that that translates?
Bob Wachob: This metric was first used in mid December of 2009 as I was trying to convince the board that we really did have a lot of activity going on in the three megatrends they were little skeptical. We have been tracking that ever since. We are doing a really good job of being able to keep track of all these. We have this individual sales people providing update each quarter on the activities, which ones are still active. We do pay them when one of these goes into production. They are very diligent about telling us when something is going to production as you might imagine. The specification wins maybe they are not quite as good there because it doesn’t mean any money in their pocket so we could possibly be undercounting those. All told, the 573 is associated with the megatrend and we have about 1,300, 1,400 total opportunities that we are tracking with the sales force and we do try as I mentioned we think we are winning 60 to 70%. I am really happy with that and that continue.
Dana Walker - Kalmar Investments: Two last questions. One, if we think about your joint ventures that are primarily supporting the phone business to what degree is their focus on the megatrends similar to your own and thus are they likely to scale in the same way that you would expect to scale as Rogers alone.
Bob Wachob: Interesting question. We have to think about this as a Japanese-centric joint venture, and therefore they respond more to what’s going on in Japan, but our joint venture partner has a huge number of folks and is headquartered in the same city as [Kyoto], so there is a very close relationship there, but little relationship with the other players and typically Japan. They are often outside of Japan are the second source to us at big U.S. OEMs, where they need to have two sources, so they qualify us and our joint venture as if we were separate. We like that, because Rogers gets it all, so that extent, outside of Japan, I believe that they will participate in the megatrends also.
Dana Walker - Kalmar Investments: Would you like to be working more closely on their development process, their sales and marketing development process than you are?
Bob Wachob: Yes, and I’ll be talking about that next week, when I’m there.
Dana Walker - Kalmar Investments: Final question relates to the electric vehicle market. You’ve talked about what you believe your content could be per vehicle, could you talk about how your content on awards won thus far compares to the hypothetical?
Bob Wachob: Yes. Dana, vehicle, we have a $100 in the battery and other vehicle in the power distribution area, we actually have 200 and some dollars, which is probably a little higher than we thought, and the other ones, where we’re still working on all those, but it’s in general similar to financially maybe the larger than we thought, but when it’s significantly larger it’s likely to stay that way through the life of the product.
Dana Walker - Kalmar Investments: My recollection is that you have described content opportunity up to $400?
Bob Wachob: Yes. Hopefully that’s still the case, because the PMS alone is between $100 and $150 in the applications that they have.
Dana Walker - Kalmar Investments: Bob, when you sight a $100 and then $200 on these two, are these apples-on-apples or apples-and-oranges?
Bob Wachob: No, they have to different companies. One case, we are in the battery and they’ve chosen not to use the TMS product, but instead to use copper as their heat sink and not to use bus bars, and in other case they have chosen to use bus bars, but they are using cylindrical batteries at the moment, which doesn’t require that you have a cushioning material, but I don’t think that most people are going to end up with the cylindrical type of batteries. In Europe, it has been TMS. It’s been adopted and that same Tier-1 had rejected us for the bus bars as being too expensive that as their selected source sale to be able to comprehend the electrical issues, we have now become the supplier of choice although we don’t have an order yet. In no case do we have everything in one car so far.
Unidentified Company Speaker: Bob, we just hope that one day we’ll do that.
Dana Walker - Kalmar Investments: Thanks for the update.
Operator: Your next question comes from Fred Buonocore of CJS Securities.
Fred Buonocore - CJS Securities: Just a quick follow-up. You’ve given us a lot of different interesting points in terms of product lines and markets that appear to have some pretty tremendous potential, but putting it all together, I guess is the challenge even for you. Given all that, do you care to give us a sense for what you think maybe a revenue growth rate or revenue level that will be achievable for 2011 would be?
Dennis Loughran: I tell you, Fred, I tried that once in the beginning of this year and.
Fred Buonocore - CJS Securities: I remember that.
Dennis Loughran: Our collective accuracy here is leave something to be desired, which makes me hesitant to talk about anything more than the next quarter.
Fred Buonocore - CJS Securities: Do you think you can growth revenues next year?
Dennis Loughran: Yes, absolutely.
Fred Buonocore - CJS Securities: That’s the start.
Dennis Loughran: Yeah, that’s the start.
Fred Buonocore - CJS Securities: Secondly, in terms of pricing Apple for instance, when they reported several weeks ago, I gotten some because people weren’t happy with some gross margin compression that they were seeing and there maybe some concern that they would be pressuring all their suppliers and trying to cut cost of that way. Are you starting to get more pressure from some of the larger OEMs that your products go in to from the pricing perspective or is that the perpetual state of life for you?
Bob Wachob: We were really not seeing the whole lot of price pressure. Most because if you think about it, you have devices across the $200 and we have $0.20. They just don’t get to it. When you see the price pressures if you are Tier I then you get it for sure. In some cases, we are Tier III and Tier IV they just never get to us and we like that. We do have some price pressure one the raw material side, but so far we were able to reduce our cost about the same is cost increases we are absorbing on the raw materials. 
Operator: Your final question comes from Ralph Reis, Private Investor.
Ralph Reis - Private Investor: I’m in a shareholder for decade in this company and very low basis. The current captivation should large part of return to shareholders, who are extended period of time is some dividend, management has become millionaires in stock options and the owners of the business have becomes nothing. I think the dividend is necessity. Some funds can even biased equity as company dividend.
Dennis Loughran: As I said before Ralph, at least twice a year our report considers the whether or not the dividend is appropriate and they will continue to do that.
Ralph Reis - Private Investor: They have done that for 30 years.
Bob Wachob: Good news is you fairly you’ve made quite a bit of money as you said you have a very low cost basis.
Ralph Reis - Private Investor: Not really, compound interest plays part here. Well, thank you.
Operator: At this time, I am showing no further questions I will turn conference over to Bob Wachob for any closing remarks.
Bob Wachob: Thank you. In closing, I would like to remind all of you that we have laid the foundation for faster growth and increase profitability. We continue to invest in new product development and look for opportunities to diversify into new markets, while continuing to focus on the three megatrends. Good bye everyone. Thank you.